Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cirrus Logic First Quarter Fiscal Year 2020 Financial Results Q&A session. At this time all participants are in a listen-only mode. After a brief statement, we will open the call for questions from analysts. Instructions for queuing up will be provided at that time. As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the call over to Mr. Thurman Case, Chief Financial Officer. Mr. Case, you may begin.
Thurman Case: Thank you, and good afternoon. Joining me on today's call is Jason Rhode, Cirrus Logic's President and Chief Executive Officer; and Chelsea Heffernan, our Director of Investor Relations. Today, we announced our financial results for the first quarter fiscal year 2020 at approximately 4:00 PM Eastern. The Shareholder letter discussing our financial results, our earnings press release, including a reconciliation of non-GAAP financial information to the most directly comparable GAAP information, along with the webcast of this Q&A are all available on the company's Investor Relations website at investor.cirrus.com. This call will feature questions from the analysts covering our company as well as questions submitted to us via e-mail at investor.relations@cirrus.com. Please note that during this session, we may make projections and other forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially from the projections. By providing this information, the company undertakes no obligation to update or revise any projections or forward-looking statements whether as a result of new developments or otherwise. Please refer to the press release issued today, which is available on the Cirrus Logic website, and the latest Form 10-K and 10-Q as well as other corporate filings made with the Securities and Exchange Commission for additional discussions of risk factors that could cause actual results to differ materially from current expectations. Now I'll turn the call over to Jason.
Jason Rhode: Thank you, Thurman. Before we begin taking questions, I'd like to make a few comments. For a detailed account of our financial results, please read the Shareholder letter posted on our Investor Relations website. Cirrus Logic delivered Q1 FY '20 revenue of $238.3 million and GAAP and non-GAAP earnings per share of $0.08 and $0.35, respectively. Q1 FY '20 sales were at the high end of guidance due in part to the success of recently launched products that utilize our components. During the quarter, the company continued to experience strong design momentum with new and existing customers across our product portfolio. We are delighted to be shipping with seven out of the top 10 smartphone OEMs and expect more devices incorporating our solutions to be incorporated over the next 12 months. Moving forward, the company remains focused on delivering long-term growth through investments in innovative products targeting audio, voice and other adjacent markets where we can leverage our expertise in low-power, low-latency signal processing. Before we begin the Q&A, I would like to note that while we understand there is intense interest related to our largest customer, in accordance with our policy, we do not discuss specifics about our business relationship. Operator, we're now ready to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Tore Svanberg with Stifel.
Tore Svanberg: Yes. Thank you, and congratulations on the results. First question, Jason you made reference to a new smart codec in your shareholder letter. I was just hoping you could elaborate a little bit on that particular product and this is something that you're shipping to pretty much all your customers at this point?
Jason Rhode: No, no that's - thanks for the question. Now let's targeted custom product. So, now, it's not a broad market device.
Tore Svanberg: Very good. And my second question is you're guiding your gross margin to be up sequentially, seasonally, obviously, smartphone tends to be a higher percentage of the mix, some surprise the gross margin is going up. Could you maybe elaborate a little bit of what's going on there, is it more your own cost controls or are you actually starting to see some benefits of price as well.
Jason Rhode: There is certainly our own efforts to contain product costs. This mix is a bunch of moving parts to it. So we're certainly pleased with that outlook from a margin perspective, we think our model obviously works at margins lower than that, so we would certainly be supportive of taken - of growing our revenue in a way that could conceivably not be that as high as what we're guiding for the current quarter. But we think that's a great results testament to lot of great work from a bunch of our folks from -- the folks designing new products, making a more efficient as well as supply chain and other teams doing their jobs well. So yeah, pleased with the result and it was kind of take it quarter-by-quarter as we go from there.
Operator: Your next question comes from the line of Christopher Rolland with SIG.
Christopher Rolland: Hey, guys, congrats on the strong results and guidance.
Jason Rhode: Hi, Chris. Thanks.
Christopher Rolland: Let's see, in the presentation around headset codecs just looking for maybe a little bit more color here, you mentioned a bunch of different functions, you mention USB Audio, DSP, continually adaptive ANC and Hi-Fi DACs. So we to think that all those are in the codecs that you're going to be shipping soon? Or are there some functions that are eliminated from those?
Jason Rhode: That's a great question. I appreciate it too, because that does seem to be a common source of speculation up there. So it's good to be able to clarify what we mean, so that just is intended to highlight the types of value we're providing across the board in headsets, so not necessarily all of them we have USB-C type codecs that support noise canceling. We have USB-C type codecs that support more basic headset functionality, digital headset functionality. We have smart codecs that are shipping today, were launched in wireless, what we call truly wireless earbud, type devices that were launched this spring or excited about that that's been a really popular design win that we've been chasing supply throughout the bulk of last quarter and we expect good things to continue to happen with those particular bud devices. So, and then we're - we have additional content that we can provide, again, you need at least microphones, amplifiers, in some cases, codecs, in every case a codec somewhere - you can need noise canceling USB, we're very excited about the wireless form factor. We think that's kind of one of the steady drumbeats that we've got is our participation in new products that we haven't been in historically. So I think as we referred to in the shareholder letter we expect to be an additional very popular wireless untethered earbuds later this fall. So we're excited about that, and that puts us that we expect that will put us in a couple of the most very most popular products of their type out there. So we're excited about that. So, just to be clear, since it kind of pops up now and again there is content other than ANC that we can provide these devices. We don't license our ANC to other folks, our ANC is typically targeted at very high performance, high noise cancellation type environments, so that isn't necessarily, not that there is not interest in noise canceling in the untethered buds kind of products there certainly is generally speaking given the battery constraint, so it would likely be a lower performance-type solution, but that's fine. There's other opportunities for us to gain content in these types of sockets whether it's codecs, amplifiers, microphones or in the case of wired ones the USB-C stuff, so it's a good product lines. Take longer to develop than we maybe would have thought, but we're definitely on the cusp of some good things happening.
Christopher Rolland: Understood. And congrats on that win. In the presentation, you mentioned $1.3 billion in other edge processing in 2023, and that seems like it was different from smart home or autos or wearables. Just wanted to be clear what we're talking about there, what comprises that either end markets or end devices or your products?
Jason Rhode: Sure. Well, so I mean, edge processing just - the name sort of implies is heavy duty signal processing that we want to do at ultra, ultra low powers, ultra low power in the end device. So rather than some competing solutions that could be implemented for example in the cloud. Voice biometrics is a good example of that, so there are solutions that are on the market today for different functions, call centers and so forth where they identify you via your voice. But that's done with the really heavy server grade kind of signal processing done in the cloud somewhere, that's, that's not what we're targeting. We're targeting being able to do these types of functions on ultra-low power, always on battery enabled devices, handsets and other things. So voice biometric could certainly be -- applications like speech recognition or other kinds of audio or voice enhancements that are embedded in that. So all manner of signal processing that is done locally low power, low latency, it's kind of the thing that puts it in our wheelhouse. So we're really -- I mean, it's a big market today, but we see no end of the expansion of that over the next handful of years as well.
Operator: Your next question comes from the line of Charlie Anderson with Dougherty & Company.
Charlie Anderson: Yeah, thanks for taking my questions and congrats on the results in some of the design win traction.
Jason Rhode: Thanks, Charlie.
Charlie Anderson: Wanted to just start with maybe the big picture question, Jason, just sort of address in the year. I know you don't guide formally, but maybe just any qualitative thoughts on how we should think about the year? And then I've got a follow-up.
Jason Rhode: Sure. So, I mean, the good news we're getting through the year-over-year comps, where we're kind of lapping though much discussed dongle, inclusion or lack thereof. So that's from a year-over-year perspective, that's good. Obviously, we don't have insights about who is going to turn up and buy what handsets when they are new and being launched. So that's what makes it difficult for us to provide quantitative guidance in that regard. But from a qualitative perspective, we're pretty excited about things as time goes on increasingly, so there is a pretty steady drumbeat. We talked about continued growth with our audio, amplifiers and haptics, we think we see good opportunities as I mentioned on our previous question to continue to expand our business in untethered earbud type devices. So that's exciting. We're poised to grow our business in tablets, which is meaningful. There hasn't been a form factor, we've had a lot of participation in for a significant amount of time. So that's a pretty meaningful share that we expected to take there. Now, we expect to continue to grow longer term in other wearable type devices that's a market that we've had some participation in, but -- we've been seeing that come on the horizon for a while and we've got the devices out there and feeling very good about that. Expectations and the plans of record around our products for wearables and then longer term kind of this opportunity we don't get into too much detail, we'll just because of the nature of who we're engaged with, but suffice to say content we've not provided previously for functions that we have not addressed previously for some of our high volume handset opportunities kind of in roughly a year from now timeframe. So we see a steady drumbeat of increased content in all of the devices that people care about and matter and are clearly driving volumes for some of the world's best customers. So we're pretty excited about what that means qualitatively again in this environment. I think it's not best for us to be guessing about how many people are going to turn up where and buy what handset, but qualitatively the story is really good.
Charlie Anderson: Great. And then, for my follow up like you've mentioned now for several shareholder letters that there is adjacent market and there's good customer interest there, you have named the product with the capability. But I guess what I would be curious then is, would this be a merchant product or would this be more of a custom by customer type of a product area. Thanks.
Jason Rhode: Well we - I mean, we tend to talk about the things that are for the broad market. We are a little more - we're a little less cagey about those, I guess, I would say, we try not to get too far ahead of our keys no matter what it is, but in this case you're referring to what we very helpfully referred to as a closed-loop controller. It's just kind of a follow on to, we started with audio amplifiers, which became interesting for us. Once they started to be a lot of signal processing embedded in the amplifier involved with monitoring the voltage in current being delivered to the speaker to do protection and enhancement and other types of functions that led us to really look at where else could we deploy that, which led to the haptic opportunity, which is quite similar to audio amplifier. So this new stuff, that were - addressing is again further types of what we're referring to as closed-loop controller, technology very low power, low latency signal processing, but for other applications within some of the highest-volume devices that we sell into. And so, it's good content that we expect to see in kind of the roughly a year, a little over a year from now kind of timeframe. So details of what that is and what not, obviously we don't get into ahead of when they launch in.
Operator: Your next question comes from the line of Matt Ramsay with Cowen & Company.
Ethan Potasnick: Yeah. Hi, there. Congrats on the quarter. This is Ethan Potasnick on for Matt Ramsay. I was wondering just big picture, a little while ago, a little while back you guys were expecting a third 10% plus customer. I was wondering if you guys could discuss given certain trade-related dynamics and the corresponding uncertainty regarding with who and what components are permitted to be shipped how that picture is kind of shaping up to look like?
Jason Rhode: Sure. So we were targeting. I think in the context of Huaweii last quarter, as recently as last quarter we are talking about the long-term potential for them to be a 10% customer. We think that's potentially still the case. We've gone through the same drama that I think is everyone seen play out in the news already the SIA and politics and all those so forth. So initially we did shut down shipments worked with our export council, certainly reviewed the assays findings and so forth. So determine the types of silicon, we sell, we can resume sales there just to know we're not in 5G-type stuff, we're not in network equipment, it's handset related stuff. So we don't -- we don't see any certainly our view is there is not some strategic threat opposed by the sale of very low power audio amplifiers for handsets. We are - we filed for export license among in the very first days of that saga coming down the pipe, so we would hope if the rhetoric is true that we would hope to be among the early ones to get a license to do that, but obviously it's not under our control. So I think in the short term, the very good news is they were not currently a very big customer at all. We were pretty pleased with the progress we've made in cultivating them as a good long-term customer and hopefully the politics will resolve in such a way that we can get back after growing that side of the business. We think it remains the case that we've got the most compelling technology of the type that we provide and I think customers like that or continue to rally around the solutions that we're able to provide. So I think the long-term story is in fact, short-term impact is relatively minimal.
Ethan Potasnick: Got it, okay. And then, I guess just as a follow-up, specifically with regard to your opportunity in voice biometrics. I was wondering if you could expand on some of the longer-term progress you're seeing, sampling and what kind of feedback you guys are receiving?
Jason Rhode: Yeah, so a lot of interest in the devices. It was great to get the FIDO certification behind us, we're the first voice solution out there to receive that. That gives a lot of customers. I think, will give a lot of customers some comfort that if you implement our solution as intended that you're not going to be subject to Class hacks and things like that, that's the intent of that certification. So we're very pleased with that result and out promoting it to customers we've got people evaluating it, designing with giving us feedback, the feedback has been extremely positive. The capabilities of the device are very robust. It's a powerful technology that we see a lot of legs to. It's important note this is the first productivity type from us usually for us to turn something into a big business, it has to be a product line, and we certainly see the probability of that in voice biometric been quite good over time. This first device that we're targeting is for handsets, specifically see the application and specifically for hands-free use of handsets. We see the opportunities for us in whatever it might be, whether it's headsets of various sorts or any other thing with a voice interface has been very compelling over time as well, not necessarily at the same solution, but based on the same underlying technology. So we see really good opportunities for us. We see good feedback and results. The FIDO thing was a great milestone and the team's doing a good job of just continuing to chip away of that.
Operator: Your next question comes from the line of Blayne Curtis with Barclays.
Tom O'Malley: Hey, guys. This is Tom O'Malley on for Blayne Curtis. Really nice results. Congrats. I guess my first one. I guess my first one in the release you guys talked about in MEMS mics and you specifically referenced working with the lead customer. I don't remember that language being in the prior quarter releases. Can you talk a little bit about that relationship and is that going to be a significant contributor here in the near future.
Jason Rhode: We're still not telegraphing in the near term for it to be a big revenue. We do -- as you would imagine now we target working with the best customers in the order of importance. The pulp [ph] that we've had from customers for us to be a supplier in microphones, I would regard is very, very high like really kind of surprisingly strong pull from customers wanting us to be successful in that space. The details of what we ship and when are we need to be a little bit cagey about and certainly as it is the case as in most things we do we want to be successful, we're going to be reliable, we want to frankly shipping things that are -- shipping opportunities that are still with very critical customers but in lower volumes. First, we don't want to leap right into the main stage. Microphones are hard. My hat is off to folks to make them successfully, but we think in the long run, we can do a better, more reliably and with the same kind of capabilities and timeliness that we do on the traditional silicon side. So continue to think that things are going to happen for that market with multiple customers that buy north of 1 billion microphones here. So we're not targeting making microphones for toys and other stuff. We're targeting premium likes that can command a reasonable margin if developed properly. So continue to think we're in good shape there.
Tom O'Malley: Great. That's super helpful. And then my other one is really just around the Android business, clearly you guys have had a lot of success with Samsung in the past couple of quarters both on the amp side and the earbud side. And that's been a pretty significant contribution to that revenue. Outside of that, you guys have talked about being working with seven of the top 10 Android, guys. And then you also mentioned in the release in terms of haptic next three to 12 months. You're going to see some more customers coming to the market. When is that inflection point for customers outside of Samsung. And when do we see that revenue really turning up in impacting that bucket as much as we've seen that other customer, Samsung being for last two quarters moved the dial.
Jason Rhode: Well, there is not, there is not too many that are as big as the guys in Korea. So that's, that's one thing. It does take aggregating up more and more bases. We see good opportunities with our Korean customer base to continue to grow the product line, there is not at all as anyone that follows our industry knows it's off that particular customer can be pretty unpredictable, but we've got a great relationship there and good opportunity over time to grow our content with other types and new devices. In the broader Android in China specifically or actually even in North America, we've got a couple of good customers in North America Android at this point, but the bulk of them out there in particular with the exception of the - of our - would be third largest customer in the longer run that you really do have to aggregate up a lot of wins to turn it into a large dollar volume. So we see good progress on that front, but it isn't going to be a hockey stick type of growth curve there either.
Operator: [Operator Instructions] Your next question comes from the line of Raji Gill with Needham & Company.
Raji Gill: Yes. Thanks for taking my questions and congrats on solid momentum. A question on the amplifier market as well wanted to get a sense of kind of your traction in the China smartphone boosted amplifier market, you have a very compelling integrated DSP. There has been some small share that you've had in that market because of the overall weakness in the handset market in China, but wanted to see what your traction there is in China for mid-range amplifier products?
Jason Rhode: Well, I guess I would say that's the new development for us that's really contributed to the success in China has been amplifiers there of nearly ubiquitous appeal whether it's mono or stereo. We think the haptic solution longer run will be adopted pretty broadly there as well. Certainly, getting to seven of the top 10 folks would happen without being amplifiers smart codecs or of a more limited appeal and Android just because it's such a cost sensitive market, but everyone who makes a phone wants -- phone to be a better speaker phone to be louder potentially replacing quite a little micro speaker and so forth, which is using your handset. So, yeah, it's been a big contributor to the progress we've made Android during the past year, and that to continue, again both with audio and with haptic.
Raji Gill: And on your voice biometrics kind of the development, how do you -- think about the use of machine learning and neural networks on the training side and how important is that in enhancing your technology and providing more value with respect to a noise cancellation. How are you able to leverage your machine learning and neural network capability when we bought that company Cipher a couple of years ago?
Jason Rhode: Yeah. That's good memory. That's good memory, that's exactly why we bought them, they were directly bolted into the voice biometrics team, currently although we see the potential for machine learning to really have a significant impact for us in the long run both as an algorithm implementation in and of itself or used as a training mechanism to tune a traditional algorithm really it has the potential to be a big deal and it dovetails really nicely into the very low power, low latency signal processing that we are to deliver. So, yeah that that's worked out well. It's a great team there, like I say, plug them directly to some developments that are really important to us. So, that's gone well overall.
Operator: And your next question comes from the line of Adam Gonzalez with Bank of America Merrill Lynch.
Adam Gonzalez: Yeah. Congrats on the solid results in execution. Just first question on the Samsung. Can you talk generally about the ramp that you expect to see there throughout the year? Just trying to figure out what the peak quarter would be, will it be Q2? Was it Q4 last year? And just generally what your thoughts are?
Jason Rhode: Well, I mean, relative to that customer's flagships, of course, there is kind of two big ones. I think the timing of those are pretty well known. We usually participate in both of those in a meaningful way. So that timing I wouldn't expect to change. We have done a better job over time of penetrating other devices. We talked about the wireless buds that started shipping earlier this year, of course that lined up with the flagship launch. But that device seems to have some pretty strong ongoing opportunities. So hopefully that may be smooth things out a little bit. And then two, we've had more success over the last couple of years in penetrating some of their mid-tier sockets. And those are a little bit less. Those are smaller volumes and scattered throughout the year, a little less dramatic kind of launch ramp type situation. So again that might help soften some of those quarters versus the rest of it type timing situations.
Adam Gonzalez: Got it. That's helpful. And then, I know you can't really speak much about your largest customer, but just wondering if we exclude the whole dongle fiasco from last year. How are you would characterize your visibility heading into the second half of this year versus a more normal cycle?
Jason Rhode: I mean, our visibility is and has been very good at that account. It's - it isn't something we get into a lot. The question is just how many people turn out to buy which product, which we of course, don't have a really great crystal ball for, but we're in the bulk. Well we're in everything from a handset perspective and increasing our penetration elsewhere. So it's a great relationship as we referred to and obviously about the best customer you could possibly helped out so continue to see good things happening there.
Adam Gonzalez: Great, thank you.
Operator: [Operator Instructions] And there are no further questions at this time. I will now turn the call over to Ms. Chelsea Heffernan.
Chelsea Heffernan: Thank you, operator. There are no additional questions. So I'll turn the call over to Jason.
Jason Rhode: Thank you, Chelsea. In summary, the June - in the June quarter Cirrus Logic continue to broaden our penetration of flagship and mid-tier smartphones while executing our new product development and strategic initiatives that we believe are critical for long-term growth. With a differentiated product portfolio commitment to design and supply chain excellence and increasing demand for innovation in the markets we target, we are optimistic about our future. I would also note that we will be hosting our annual meeting of stockholders on Friday, August 2, presenting at the Oppenheimer Technology Internet and Communications Conference in Boston on August 6 and presenting at the KeyBanc Capital Markets annual Technology Leadership Forum in Vail on August 12. Live webcast of the conferences will be available at investor.cirrus.com. If you have any questions that were not address today, you can submit them to us via the ask the CEO section of our Investor website. I'd like to thank everyone for participating today. Goodbye.